Ángel Bautista: Good day, ladies and gentlemen. This is Ángel Bautista, Director of Investor Relations at Repsol. On behalf of our company, I would like to thank you for taking the times to attend this conference on Repsol Fourth Quarter Results and our summary of the year 2012. This presentation will be conducted by Mr. Antonio Brufau, CEO. Other members of the Executive Committee will be joining us as well. Before we start, I invite you to read our disclaimer note. We may make forward-looking statements, which are identified by the use of words such as will, expect, and similar phrases. Present results may differ materially depending on a number of factors as indicated on the slide. I now hand the conference over to Mr. Brufau.
Antonio Brufau: Thanks, Ángel and thank you for attending this conference. I will be addressing four topics during the call. First, the main events of the year mark by the YPF confiscation and the updated strategic plan that follow. Second, an update on the financial situation. Third, the quarter and year results. And fourth, our preview of 2013. 2012 was a year marked by the legal confiscation of YPF by the Argentinian government. On April 16, the Argentine government decided to expropriate 51% of the company taking the shares exclusively from our stake. After the YPF confiscation, we presented a strategic plan update which explained how the company’s ability to grow wasn’t affected and how we would be solving in the short term the challenges to strength our balance sheet. Our decision to make the upstream division the growth engine of the company supported by the cash generated by our downstream business remains unchanged. We maintain our mid-term’s upstream growth focused on 10 projects which are the support of or production in Greece and reserve replacement ratio level. Five of these projects are currently producing. Margarita-Huacaya in Bolivia. We just started production from the first expansion phase in May 2012. This is a gas field with prices in the range of 10% Brent per million Btu. The second phase is on a schedule to start delivering additional volumes in the fourth quarter this year. The field is expected to deliver a total net production of 17,000 barrels of oil equivalent per day by 2014. Mid-Continent, in the U.S., has started to deliver production from the Mississippian Lime, back in February 2012. For the time being the results are in line with the estimate we used at the time of the acquisition. We expect Mississippian Lime to be around 2% of the 2013 production level. We expect to drill around 700 wells during this year. The Alliance with Repsol oil and gas joint venture in Russia has started to book production with the assets incorporated in August from the Samana region oilfields and later on in November of the Tatarstan region oilfields. We are currently producing around 10,000 barrels net to AS and expect to add additional 4,000 more from the SK assets which have started production last week. Lubina-Montanazo in Spain has started production in October. It contributes 6,000 barrels of high margin barrels. Sapinhoa in Brazil which come on stream in January this year and will add net to Repsol 20,000 barrels by 2014 and 45,000 barrels by 2016. This project will increase not only our oil production but also the average margin per barrel. The remaining 5.5 projects are progressing as follows. Kinteroni in Peru well some facilities are complete. We have a short delay in First Gas due to heavy rainy season and the completion of final details in the commercial agreements. We expect to start production in the matter of weeks. Carbon IV for the further stage in Venezuela to produce 300 million cubic feet a day of gas in gross terms is progressing on a schedule with First Gas planned by 2014. Carabobo again in Venezuela is in the early stages of concept validation with engineering, seismic and stratigraphic growth under execution. We’re pursuing an accelerated production project, to be the couple from the main one. With all oil initially being processed and exported from existing facilities. The third well started production on December 28, 2012 and we’re now drilling additional development wells. Carioca, our second Santos-named development project is progressing as scheduled. We’re currently carrying forward engineering studies in order to be able to declare commerciality by year end. First Oil is scheduled for the end of 2016 as planned. And Reggane in Algeria where we expect the front end engineering and the science from such space facilities to be completed by June this year. First Gas is in line with our previous estimates and is scheduled for the second half of 2016. Operationally, we progressed consistently on several forums in 2012. Starting with the upstream business, in the development and production areas, we have delivered our reserve replacement ratio of 204% making 2012 the third year in a row with the ratio than our strategy plans mid-term goal of 120%. The 2012 organic reserve replacement ratio has been 194%. We increased production from our 2011 average of 299,000 barrels to 332,000 barrels per day. The production outcome was mainly increased by Bolivia, volumes back to normal and Margarita barrels in Bolivia. Trinidad & Tobago, that was affected by maintenance both in the trend and on the fields facilities had a negative impact. In the exploration side of the business, our team is delivering every year, the targeted contingent resources. In 2012, we added nearly 400 million barrels from exploration plus 300 million barrels coming from non-organic additions of U.S., midcontinent and Russia. The yearend resources inventory reached more than 2.1 billion barrels compared to the 1.5 billion barrels as of the end of 2011. The main discoveries behind the added resources are Pão de Açucar ranked as one of the top 10 discoveries in the world in 2012, and Sagari in Peru, along with smaller discoveries in Columbia and Algeria. We maintained the focus in renewing exploration accolades to have a robust portfolio. During 2012 we added more than 68 blocks, 44 of which are in the United States an area where we are focusing on for future growth, while we still keep on diversifying adding Angola, Aruba, Australia, Bulgaria, Namibia and Romania to our current geographical presence. This new ideas cope with the state of the strategy with regards continued building a balanced portfolio with more oil concentration and focus on our geological expertise. In the Downstream business, the refining division significantly improved performance delivering a 2012 refining margin of US$5.3 per barrel, compared to $1.6 per barrel in 2011. The macro condition were favored by occasional events mainly in the third quarter, such as a massive maintenance season in Europe, along with tax seasons in refineries in Venezuela and Mexico. These events besides the US$1.6 per barrel premium margin contributed by debt grades resulted in the margin improvement. Let me remind you that we need a margin of US$2 per barrel to breakeven in our CCS EBITDA and a US$3.7 per barrel to breakeven in our CCS EBIT at a 80% utilization rate. The Retail business results had still been resilient even low demand has been decreasing throughout the year. The Chemical business experienced a very weak period this year, we had drop in volumes and margins that has caused a negative result. At the EBITDA level, we ended the year at breakeven. We are working in order to increase the competitive in this of our chemical business, that includes first, rationalization of our industrial assets, focusing on the most competitive ones. Second, moving to higher added value products. And third, focus on energy efficiency projects and reduction of raw materials cost to supply our crackers. Going now to the financial position, Repsol ended 2012 with the next net debt ex Gas Net Fenosa of €4.4 billion, €2 billion lower than the one at the end of 2011 after YPF exploration effects. The reduction was due to on the one hand the €1.4 billion placement or 5% tertiary shares back in January 2012 and to a lesser extent was due to non-core divestments and cash generation of our businesses higher than investments, dividends and interest payments. Repsol has been maintaining good access to the capital market at very competitive tariffs securing enough liquidity to pre-finance our business plan for the following years. As of December 2012, Repsol has €4.6 billion in cash, last €4.4 billion in committed and lower credit lines. Liquidity available shows a coverage ratio of three times in relation to shorter that. Our leverage ratio at the end of the period was 21.6% including preference shares. In our strategic plan we defined some actions to strengthen the balance sheet. Let me explains the promise made in 2012. First, the implementation of this scrip dividend was very successful with an effected ratio of 64% and 69% for the final dividend of 2011 and the interim of 2012 respectively. The problem contributed cash savings of €900 million, while second working capital reductions through the optimization of refining inventories and commercial conditions. Previous type requirement by more than €750 million in 2012. Third, selected non-core divestments in Ecuador and Chile amounting to €551 million. Fourth on the sale of our LNG division, we announced only this week that we’ve sign an agreement we show to sell all the assets and operations related to our LNG business outside U.S. and Canada for an enterprise value of $U.S.6.7 billion. Repsol’s reported net debt will decrease by an estimate of €2.2 billion as a consequence of the transaction. Looking at that with the credit rating agencies criteria, the reduction is expected to be in the range of 4 to €4.9 billion, which would imply a significant improvement in Repsol financial ratios. All these steps insure the company that company maintains a solid financial position, reduces debt and increases liquidity. As for the prefer and treasury shares, we will be announcing our decision on the alternative in the short-term. Outside financial on liquidity situation, after the LNG sales allows us to accomplish these transactions avoiding dilution to our shareholders. I will make our assistants to talk about the actions taking during the year to get a fair compensation for the YPF confiscation. We’re very grateful from the broad support we’ve been receiving from government, public and private institutions and the whole international community that has severely reapproved this illegal action. However, we remain open to any potential negotiation to reach a fair agreement that compensate the value of our confiscated assets. Meanwhile, the defense our stockholders’ interest oblige us to strongly pursue all available legal options. The legal claims we’ve filed in the U.S., Spanish and Argentinean courts. And in particular the international center for settlement on investment disputes are progressing well according to the legal procedures. Let me go now to the quarterly results. First quarter CCS adjusted net income was €517 million and CCS adjusted operating income was €1053 million. These results were 115% and 109% higher respectively than during the same period last year. The improved results have been driven by a better performance in both the Upstream and the Downstream divisions. In the Upstream business, the adjusted operating income was €492 million, 151% more than what we have obtained during the same period of the previous year. In addition to the Libya production returning to normal and the continuous increase in the Margarita ramp-up volumes, we have started production from the Russian, Spanish and the Mississippian lime operations. The other main explanation of the variation was lower exploration expenses, which were €48 million less than during the same period of 2011, due to lower amortization of both bonds and wells. In the LNG division, the adjusted operating income was €110 million, in line with the same period last year. As mentioned in the LNG sell release, we will be booking the LNG business results until the closing of the transaction. In the downstream business the CCS adjusted operating income was €326 million, 151% higher than the fourth quarter of 2011. The good performance comes mainly from the refining business, due to higher distillate volumes and increase utilization rate of our system up to 83% and a margin of 3.3 – U.S. $6.3 per barrel. The premium on the margin from the new units reached U.S. $2.45 per barrel during the quarter and the utilization rate in the conversion unit reached 93%. In our retail businesses, the LPG results partially offset the decrease in margins and volumes in the retail sales. To finish with the quarterly results, in Gas Natural the adjusted operating income of €226 million was 22% higher than during the same period last year. The increase is due to higher margins in the wholesale marketing business and better results in electricity commercialization. Moving to the 2012 cumulative annual results, I only want to mention that the upstream division accounting – accounted for more than 50% of the annual CCS adjusted operating income, and also that 2012 CCS net income was higher than the one attained in 2011, which included YPF. It means to me that we have been able to offset the YPF impact in our P&L. Now, I would like to cover now the forecasted activity for 2013. In the upstream division, we expect to increase production by 10%. January average was around 360,000 barrels per day. We are currently adding to this figure SK barrels in Russia, and we will be adding surely Kinteroni barrels that will be on a stream in the coming weeks. As explained in the exploratory day back in January the exploratory activity in 2013 will include 30 wells and two appraisal wells. 75% of the investment will target oil and 65% of the total budget above US$1 million will be spent in drilling. We will concentrate our activity offshore in Brazil, Angola, U.S., Norway and Canada coupled with a recovery and short activity in Libya, Algeria and new operations in Russia. On the LNG businesses, we are still obtaining reasonable result regardless of the market challenge we face. CanaPort is an efficient terminal, flexible with the demand swings and able to handle Q-Max and Q-Flex vessels. It also has strong synergies with Repsol’s North America gas commercialization division. The plan location allows us to benefit from a premium market thus with other important markets in North America. Especially during winter months as we have proved this January. Nevertheless, we plan to reevaluate the operating and strategic alternatives for these assets. In the downstream division, we expect to maintain a high capacity utilization of our conversion units. Obtain a fair evaluation of the retail division results and improve our product differentiation in the chemical business. Finally, we will persist in our efforts to get a full compensation from the Argentinean government on the confiscated stake of YPF. And as I mentioned before, to that end we will remain open to any negotiation alternative that arises. That in the meantime we will continue with our other legal actions. This year was one of the most challenging years we have had as a company. We dealt with the confiscation of YPF and the impact of the market events affecting Europe and Spain. Having a direct influence on the region with perception. In this challenging environment our operational units have maintained the focus on delivering the objectives to complying with the role in our strategy. 2012 operational performance and financial results are a proof of these. We are shaping a company with a straightforward strategy with growth denominated by the upstream division with just trends above the industry average, and with a strong financial position which supports Carbon and future projects, a sure by economic exploratory activity. And now I will replace to answer any question you may wish to put to us. Thank you.
Operator: (Operator Instructions) Hello, again please Thomas Adolff from Credit Suisse go ahead with your questions.
Thomas Adolff – Credit Suisse: Good afternoon, thanks for taking my question and congratulations on the LNG transaction. I guess on the financial strategy the pressure conversion is the next as you said and properly into plain vanilla bonds, but I’m also wondering whether you will continue to pursue non-core asset sales during 2013 such as Peru downstream for example and when one considers the potential improvements to the financial position from this by the time you complete the LNG sale was shown by late 2013 early 2014. Should we think of Repsol having excess funds over and above your credit rating requirements in 2014 that would allow you to take opportunistic steps acquisitions in the upstream again? And just another one on the Charity shares is there a preference to cancel these to offset the dilution from the script? And then I guess my final question is on the downstream structuring fundamentally Europe is on the wrong side of the cost curve for chemicals and is great to hear from you that you’re talking about rationalization of industrial assets moving to higher value added products etcetera, etcetera, but could you possible quantify this impact and over what timeline you’re trying to implement all of this? Thank you.
Antonio Brufau: Well, thanks so much for your congratulations about the LNG. About selling non-core assets we don’t have many left in our balance sheet. And still you know we have the dilution in downstream business that we are now thinking in divesting that is not going to be baking in terms of quantity of money which is involved in Peru. But it’s going to be important in terms of not requiring the CapEx that we need to improve the quality of our unit in our refinery there. Then I would think that other than that the remaining non-core assets are very, very few. We do consider downstream in Spain, as a very, very good asset for us. Therefore we do not plan to serve downstream assets in the Peninsula – in the Iberian Peninsula. Obviously the LNG transaction Isidro as Shell has mentioned will need some time in order to get all the approvals though, mainly, mainly the antitrust authorizations, that may take some time. By then of this semester, second semester, I don’t think we should be able to go ahead with the deal. But the antitrust authorities are not in our hands to decide when. But let’s assume that that is going to happen 2013 beginning 2014 as Shell has mentioned. If that is the case, then obviously we will have a very good financial structure. But I want to believe – I want to emphasize that we have done the LNG deal for two reasons. One was because – the one was to improve our financial structure and when I say improve, I say improve. I mean, that after the deal we will have a very solid financial structure that is the one that we want. Therefore no cash in excess. The second one, the second reason for the selling of LNG is as I mentioned in our presentation of the strategic business plan for Repsol this is very – this is a business very intensive in CapEx and we do see that our operation was very good but very limited in terms of growth and if we have to place a virtual our money, I do prefer to play safe. At the upstream level that investing in liquefactions range etcetera, etcetera. Therefore, the reasoning for that is changing the possibility of having a number of divisions to a growth story. Having said so improving our solid financial position, selling an asset that for another company like Shell means more than for us in terms of growth, we remain very oriented, very focused in organic growth, I mean that we cannot think that what we had done very well up to now which means growing organically has to change. Obviously we have to look to everything we are just moving around the world in terms of looking for opportunities but my main priority and the priority of the company is just growing organically, investing a lot in exploration, more than our competitors, placing our operations in areas where we have strength and thinking 10 years from now, that we have to be solid financially talking. We have to grow internally. We have to look for small opportunities as that fits in our portfolio like the Russian one, like the Mississippian line one etcetera, but nothing more than that and therefore we plan to remain as the way we have done up to now. Our treasury shares is an asset that today in my opinion is that asset, is the best asset we have in our portfolio because at €16 per share they are very – the upside possibilities is very high. Do we plan to use those shares for the scrip dividend today? My answer is not. We do prefer to have capital increases. There are no significant dilution. In my opinion there is no dilution through the scrip dividend, because already – well, we may have the right to go to buy shares for cash. And therefore, the treasury shares we have, it’s good to have those, again, to be solid financially talking. And then your last point chemicals, in chemicals we have three different positions. Well, we have first, it’s important to put the frame, chemicals account for 3% of the total capital employed and in the worse scenario that has been 2012, we have breakeven at the EBITDA level. That means that we cannot have much from this business. 3% capital employed breakeven at the EBITDA level. But having said so, that’s not enough for Repsol. We are just working in, closing units that are not very efficient. Obviously, we tried to close this units in a broad analysis, you know, I mean that we tried to move people from the chemical units to be refining businesses et cetera, et cetera in order not to interfere much in our labor stability. But we are very determined and we have done that in the past to close non-efficient units. Second, we are just trying to move from low value-added to high value-added, even though that means loss in sales etcetera. That means increasing margins. And lastly, we are just investing our money in chemicals in order to be more efficient in terms of energy reduction, energy consumption. I mean that this is the gain, I mean that cost in terms of closing units, just focusing our efforts in value added by products. And lastly, reducing consumption of our own raw materials.
Thomas Adolff – Credit Suisse: Got it.
Antonio Brufau: Thank you so much.
Thomas Adolff – Credit Suisse: Thank you.
Operator: Okay. Thanks so much. Now please, Hootan Yazhari from Merrill Lynch. Please go ahead with your questions.
Hootan Yazhari – Merrill Lynch: Hi, there. Just a quick question regarding Canaport. You’ve mentioned that you’re looking at different options available at the moment. Maybe you can expand on what those options are and in particular, would you address the potential to invest in the asset further to reverse flows and making them LNG export terminal. Obviously, there is quite a lot of interest given the huge quantity – quantities of gas in the region, is that something that Repsol would look to undertake itself or if that’s not of interest and you would prefer someone else to do it? Thank you.
Antonio Brufau: Well, your last point. I take your last phrase, I mean I would let allow someone else to do that. I mean that I don’t think today it would be a good idea to invests, let’s say $1 billion converting or having a dual plan in regasification and liquefaction today. If that is a good business, it will be good business for us and for many others. Also in connection with that we have to think that if the United States as far as I know and so as of today, there is only legal practical train that has been allowed to export LNG – sorry – natural gas. Therefore, I think that if that is going to be the case, it will not be tomorrow, it will take some time. And we’ve plenty of time to start the other alternatives. Today what we think, I mean, first, we’re located in the best place in the United States – well, in the boarder – in Canada but in the area which is more attractive in terms of natural gas commercialization, in terms of high margins. We’re not linked to Henry Hub. We always have a margin on top of the Henry Hub because of the market that we’re. There is a lot of gas as you said before in Canada. Maybe one of our synergy, it will be to look at the upstream level, trying to improve our positions there in order to maximize the capacity of our pipes there to deliver gas into the U.S. We have a very extensive group of peer, very extensive network and a very good group of people in the United States, selling and driving natural gas and electricity, that’s another area where we’re going to put our attention. What I have to tell you is that Canada was a very good and in my opinion was the best project that the United States had until three or four years ago before Shell Gas appear to be the player – the key player in this business. Still, this is a business for 25 years. And obviously, today this is a business that is creating more problems than opportunities. we know that, we have to manage that. But core of your analysis, could be sure that in four or five years under half prices do not equilibrate by with international prices. Who is sure that nobody is not going to explore LNG – Natural Gas coming from Shell Gas and therefore pushing prices up. Who is for sure who knows what is going to happen in the LNG chain all over the world in terms of the massive quantities of LNG that will be on the scene requiring some place to place the gas. Many things add to the question marks. And what I’m sure is that what is today a question mark in 25 years, we will have different situation. And for sure, we had the lowest, lowest, lowest position in Natural Gas in the U.S. Five years ago that was not the case, we would be at the highest who knows what’s going to happen in five years. Main responsibility and Repsol’s responsibility is to manage data set thinking long term and trying to breakeven in the business in two or three years and that’s take that for sure and building from that in the next years to come. Did I answer?
Hootan Yazhari – Merrill Lynch: Yes. So your strategy right now is one of waiting and seeing and there’s no real urgency to do anything with this asset for now, just to manage it for breakeven?
Antonio Brufau: Yes, remember Hootan that we booked an permanent value or we’re going to book a provision for those assets in Canada and the United States for $1.8 billion gross, and the total CapEx that we have employ there, including the pipes is 2.5 – 2.3. Therefore, we have left very few room for mistakes and the goers lets clarify, let’s clear our home, our house in the United States in this business line, not to be push, not to be push to do businesses that do not fit in our strategy. From now on, we have capital employed net very low. We have a very clear idea of what we have to do near-term, which means offsetting damages and building the future and analyzing the future on following market trends to maximize the value at the time that the economy recovers from the natural business or price have recover, okay?
Hootan Yazhari – Merrill Lynch: Thank you very much.
Ángel Bautista: Thank you, Hootan. Please, Filipe Rosa from Banco Espirito Santo. Go ahead with your questions.
Filipe Rosa – Banco Espirito Santo: Hi, good morning everyone. Two questions, if I may. The first one on E&P, you gave an outlook for production to grow 10% in 2013. Could you give us some idea how do you expect the profitability per barrel to evolve under current market conditions? And my second question goes for refining and marketing, you mentioned that you are trying to cut your cost at the chemicals business, could you give us an idea what you’re doing to try to shore up the profitability in your marketing division. And whether you expect refining and marketing as a division to perform in-line, below or above 2012? Thank you very much.
Antonio Brufau: Filipe your second question is about our marketing business in Spain?
Filipe Rosa – Banco Espirito Santo: Yes.
Antonio Brufau: Okay. I will start with the second one. Sales decline in Spain in retail business is still very important. In 2012 at the – our marketing station, volumes of sales went down by 9%. Obviously, that will – this declining ratio will have to reduce at a given moment, but nobody knows when. But through the year our operating income in our marketing station was €400 million which was 100 million lower than the year before, 2011. Obviously, what we have is very specific plans, first, to keep our market share. We kept that in 2012 and 2011. That’s first. Second, to keep margins at the level we had last year. And we have proven to be very efficient in keeping those margins, with some exceptions that with periods that it was very difficult. But in general, we don’t see – I do see that I think that 2013, we will be able to keep the same margins as we had before. Obviously, the non-oil and the non-oil business everyday becomes more important and therefore what is being damaged – what is damaging us which is the volume in declining in sales, it’s being offset with an increase in non-oil and LPG, which is another business line that is performing quite well. Therefore my impression is that through 2013 we will see above the same figure at the operating income in what we could consider the marketing business. Chemicals, sorry chemical, LPG doing slightly better and products doing a slightly worse, non-oil products doing better and also being more efficient in terms of cost efficiency. I mean, that we do have plans to be, to reduce our cost in the marketing stations. Therefore that’s not a problem for Repsol, I mean that has been there many years and we have proven that even though since 2008 we have lost something like 25% of volumes, our margins and our operating income is higher today than it was four years ago. And that proves that our system is very efficient. Your first question that I did not understand very well Filipe sorry.
Filipe Rosa – Banco Espirito Santo: On the profitability per well for the upstream division the ARPU for 2013.
Antonio Brufau: Based on the new barrels coming from Brazil, can barrels coming from Russia, good barrels coming gas natural barrels coming from Bolivia etcetera it will move our margin per barrel from $5.7 per barrel to $7.5 in 2016. I mean that from 2012 to 2016, which is the analysis we have is from $5.7 net income per barrel to $7.5 per barrel. After taxes I have said everything which is the way we analyze our margins per barrel because of our taxes being very different in Libya and Bolivia in all places. The analysis we do is net income per barrel. 2012 net income per barrel was $5.7, 2016 we don’t see many problems in getting that $7.5 per barrel.
Filipe Rosa – Banco Espirito Santo: Thank you very much.
Antonio Brufau: Did I answer you.
Filipe Rosa – Banco Espirito Santo: Yes. Thank you very much.
Antonio Brufau: Thank you.
Ángel Bautista: Thank you, Filipe. Now it’s turn for Theepan Jothilingam from Nomura. Thanks go ahead.
Theepan Jothilingam – Nomura: Thanks Ángel. Good afternoon. Couple of questions please. Just coming back to the dividend strategy, could you talk about that going forward. Will be still be looking at payout ratio particularly post the L&G sale and then secondly just a point of clarity when you come back and think about profitability for the North American gas business for 2013, is it right to assume similar levels of profitability to 2012 or should we see that improve and when as a base case that we see that move into positive territory. Thank you.
Miguel Martínez: Well our dividend Theepan, our dividend strategy will not change, even though 2012 has a high payout. We don’t think that as we see our P&L moving forward, we see that our payout will be very similar to the industry and we don’t have plans to change that for both, the payout – payout, the yield per share and discreet policies that we are using. And therefore we will continue discreet policy. We will move around 50% payout ratio in the years to come and we do think that we will be able to pay what we are paying now and more. Our idea is to have our cash out because of the dividends of our own €500 million and this is what we think we can accomplish based on the data we have in our strategy now. In terms of LNG, if I understood properly because its – in 2013 the figures will be around the same as 2012, we don’t see any different ‘12. We have done, we have performed fantastically well in January, but because of the special situation that we had in east part of the United States and we have performed very well as you will see in the first quarter results. But my opinion is that I don’t see a big change. Obviously when you see LNG globally, including the Shell, the assets sold to Shell, you have to take into account the ramp up of Montaneo, I mean, that the Mexican terminal, I mean, that most of the – some of the gas will go to Mexico at Henry Hub linked prices. Therefore once Montaneo is working full 100% and as delivering our commitment to Montanazo 100% at the operating level you may see $130 million less than today.
Theepan Jothilingam – Nomura: No. Sorry. Antonio I was wanting to ask a little bit more about I think there was an EBITDA loss of sort of $135 million rather for that North American gas business last year and what I’m trying to understand is when do we see an improvement in that number is that a lower loss or when do we start to see that number turn positive?
Antonio Brufau: I think that I would – it’s difficult to answer properly. Now that they would consider the same quantity of losses of last year maybe a slightly less because of January being very good. But to be proven and to be conservative let’s take the same figure.
Theepan Jothilingam – Nomura: Okay, thank you. That’s very helpful.
Antonio Brufau: Okay, thank you, Theepan. Please, Lydia Rainforth from Barclays. Go ahead with your questions, Lydia.
Lydia Rainforth – Barclays: Thank you and good afternoon everyone. Three questions if I could, mostly clarifications. Can I come back to the preference shares the treasury shares, you don’t have to wait for the closing of the LNG sales to do to actually – and either convert the preference shares or so with treasury shares is that – is my understanding correct from that? And secondly, on YPS do you think it’s possible to get an agreement with Argentina during 2013? And then just finally, could you give us an indications of what you CapEx budget is for 2013 itself. Thank you.
Antonio Brufau: Well, do we have to wait for the preferred shares conversion? No. We now are in the process that – to work in the final structure. We do think that, if I may so, right now, I mean that, may be tomorrow, it will be slightly different but I think that the ideal transaction would be swapping the preferred shares into a long term bond, bringing an interest in the bond to compensate with the present value of this subordinate or the preferred shares. So I think that we will go for a 10-year bond with prices that account for the discount that we have to place in this instrument. But we don’t need to wait. We are going to proceed very soon on that. Do I feel confident in reaching an agreement with Argentinean authorities? Let me tell you, I am ready to reach an agreement. I’m not feeling confident. I mean that we are ready and ready to sit and I want to sit with the Argentinean authorities to see what we can do that fits in the interest of the stockholders of YPF – sorry of Repsol, which is what I have to protect. Things, as you know, are not progressing very well in Argentina and in YPF. Now we have seen that what they did was a totally crazy deal or crazy decision in my opinion on top of being illegal. That company was very well managed – YPF was very well managed in the past and the discovery of Vaca Muerte was a proof of that and now they have to deliver. And they expropriated on the – they have taken the assets from us and we have to see what they do. And I am sure, what I know today is that they are having lot of problems in trying to copy us. Having said so, ready to discuss, ready to sit, but that doesn’t mean that we are not going to proceed, as I said before, with all the legal actions that we have to do in order to get what – to pressure our rights. And last, the CapEx we have excluding Gas Natural Fenosa, is going to be around €3.6 billion. 3.6 – if you want the detail of that, EMP is going to be 2.7, and downstream around 6 to 700. Obviously, on top of that you have to add Gas Natural Fenosa to reach a level – total consolidated level of 4 billion. But for us, excluding Gas Natural Fenosa, 3.6.
Lydia Rainforth – Barclays: That’s very helpful. Thank you very much.
Antonio Brufau: Thank you, Lydia. Now the turn for Irene Himona from Societe Generale. Go ahead Irene, please tell us your questions.
Irene Himona – Societe Generale: Thank you. Good afternoon. I had two questions please. Firstly, on the LNG sale, obviously you shall has a strategy of integrated gas but clearly, they are not acquiring any production associated with your assets and would you be open to discussion on disposing of reserves at the right price, if you could add value as you did in Brazil for example. My second question is on marketing if I can go back to marketing profitability in Q4. As you mentioned for the full year, the result is about 20% lower than in 2011. However, there appears to have been a quite a short drop in Q4. So actually if I annualized the fourth quarter marks in EBITDA I am running it about 60% below 2011. So was there something unusual in the fourth quarter because volumes had been declining all along to cause that weakness. Thank you.
Antonio Brufau: Okay. With your first question, the answer is we do not consider selling up free methods even though they have linked to the midstream assets in LNG. I mean that we have never stop, we shall, we do not plan to sell our priorities to grow in this business. Therefore, it is not in our mentality selling assets of these level. Your second question that’s true. In the last quarter of 2004 – excuse me – 2012, we suffer from the – let’s say, from the pressure from the media and political pressure that happen to be in all Europe about prices going too high. Obviously, we negotiate with the authorities. We have reached agreements et cetera and now we’re back to normal. I mean, that volumes were declining, but at the same speed then before. And I could say that we’ve two problems in last quarter, one was LPG and the second one was the margins in the marketing a station. These two problems have been already solved. We’ve new ways to discuss with authorities and I don’t think that’s going to come again. I mean – and that was quite normal in all Europe. Remember last quarter and year was not good at this level. But again, I mean, this is the only business that it’s linked to the Spanish economy or to the European economy basically. And we shouldn’t look that on a monthly basis. It’s better to look at on an annual basis or even more than an annual basis. And what I was mentioning before we’ve had 25% volume reduction from 2008 to 2012 and operating income at this level is higher than that year and it remains at the level between €400 million and €500 million. Which if you take that and you compare that with our capital employed which is around €1.5 billion which is not much that means that we get good money from this business, and the reason for that is because we are the dominant player. We have very good network. We are fully integrated downstream, the old downstream business et cetera. And, again, I mean Miguel is telling me that, if you look at the downstream business as a whole, during the exploration that is big and deep, in 2012 last year, we got an EBITDA of €1.5 billion. 2011, which was even worse was €1.7 billion. The same as 2010, 1.7; and 2009 was 1.8. I mean, that during the last four years, we have been able to move on top of €1.5 billion at the moment the market was very depress and we have the significant prices in Spain and in Europe. And the CapEx today, thanks to our efforts in the past, it’s going to be no more than €600 million over a – for the following years, and this CapEx will go to improve our operations, not to increase our operations to improve our operations, and to increase the EBITDA. Therefore, main pressure is that, even though we may have on a monthly basis some problems, on an annual basis and more than annual free cash flow and EBITDA considerations will be significantly better in the future. Did I answer you, Irene?
Irene Himona – Societe Generale: Yeah, thank you very much.
Ángel Bautista: Thanks, Irene for your questions. Now, please Alejandro Demichelis from Exane. Please Alejandro, go ahead with your questions.
Alejandro Demichelis – Exane: Yes. Good afternoon, gentlemen. A follow up from the previous question on CapEx, now that you are talking about boosting your organic upstream growth, how should we be thinking about CapEx going forward, particularly plus what you’d told us at the last strategic plan? And the second question which is linked to that, how does that boosting in upstream investment kind of is linked with the rating agencies statement of yesterday talking about all of the process have to be used for reducing debt?
Antonio Brufau: Well, in terms of CapEx, at the – the average we have in front of us, the total CapEx, excluding Gas Natural Fenosa, it’s around 3.6, €3.7 billion, therefore that’s the CapEx we see in front of us organically. At the upstream level, the CapEx we do have to – we think we have in front of us is for 2013, as I said before 2.8 and remaining debt level until 2016 which is the organic strategic business plan. Therefore all the CapEx basically most of the CapEx will hold upstream. I am being very efficient in terms of the remaining business units. In terms of our balance sheet, rating agencies et cetera, as I said before the LNG business and LNG transaction with Shell is just to improve our financial structure and the plan is self financing, I mean, that therefore obviously talking from 3 years from now is very difficult but I have very clear ideas of how to manage this company in terms of being very strict, very rigid, in terms of using their money of our stockholders and therefore, and they are rating agencies understand that very well, the priority organic growth obviously if something happens that in our strategy and that we can manage as like being organic we will go for it, but that is going to be very minor, that’s not going to be irrelevant. With organic growth we will go for more than 500 barrels production 2016 and with tremendous potential with the projects we have in front of us today for the years beyond 2016 therefore we are not excited about doing different things that we are doing right now. We know how to manage this business in the way we do that now and we do not plan as I said before to change that direction.
Alejandro Demichelis – Exane: Okay. So just to confirm, you don’t expect the CapEx to be very different between now and 2016 versus what you guided for 2013 yes.
Antonio Brufau: No, not at all, not at all for sure.
Alejandro Demichelis – Exane: Okay. That’s very clear. Thank you.
Antonio Brufau: Thank you.
Ángel Bautista: Thank you, Alejandro. Now it’s the turn for Bruno Silva from BPI. Go ahead Bruno.
Bruno Silva – BPI: Good morning, everyone. Still have a couple of questions. The first one and sorry for going back to the treasury stock question, I guess you mentioned that the low stock price is the reason for preferring not to amortize the shares that go against discreet shares and there is the same rational will be prefer or would you be ready to propose to the shareholders meeting and buyback program instead or do you think because of the time expected to close the LNG sale and to credit rating restrictions that would not be possible that are at least during the course of this year. And the second question and on the working capital optimization that you have been talking about, and the results in the first quarter alone, you’ve got around €900 million, seems promising looking at other benchmarks that you can drive to this kind of savings. Can you please give more color on the origin of this success and the potential for further saving in this item for 2013? And final question is a follow-up on previous questions on EBIT upstream for 2013. You already provided a trend in terms of various profitabilities through 2016, but for the current year alone and aside from the mentioned production growth and assuming neutral FX and prices for liquids and gas, how much would EBIT for upstream grow? I’m asking it because I guess Mid-Continent could be a margin dilutive in 2013, isn’t that correct? Thank you.
Antonio Brufau: The first – to your first question about buybacks, we do not have the buyback concept in our mind. I mean that we do think that the treasury shares that we have, as I said before, are very good – is a very good asset. We will place that to a financial investor the sooner we do think that the value is there. Now therefore a company like us with a growth story that we have in front of us, I think that should not – should place all the efforts in growing and not in reducing the capital structure. Therefore, not residual, no. The answer very clearly is no in terms of payback. In terms of the working capital I think that we’ve mentioned €750 million and two basic or three basic reasons for that. One is, of demising the quantity of barrels that we hit – that we have to keep in our stock the barrels of raw material of oil and just agreeing with the others to review that. The second one is selling forcing the selling of our refining products in Spain I’m just trying to keep very low inventory levels at the refining system. Obviously, we have reduced because of the economy situation in the Spain that days receivable I mean that when we sell our products mainly chemicals and others we force people to pay all in advance or in a very short period of time therefore reducing the quantity of receivables in our balance sheet. Many things like that I mean to – I’ll pass to Miguel please he wants to say something to you.
Miguel Martínez: Good afternoon to everyone. I mean basically the reduction was obtained 10% due to the refining stock and the rest 5% was due in the receivables. For 2015 for sure it will be dependent from the prices as the first step I mean it’s not the same amount of network in Europe living in $100 per barrel of oil and in 130. But having said so, I would expect that reasonably would we able to be – to keep around €600 million of the reduction through 2013.
Antonio Brufau: Back to me, I mean that, Bruno – on your last point, we cannot disclose the EBITDA of 2013. But we can – I can tell you that production increase will come from Brazil, which is Sapinhoa, very, very, very high margin barrels. It will come from Russia, international prices and the United States, Mississippian Lime, and Camisea and others, again, international prices. However, for Brazil international prices and high margin U.S. international prices, Russia at the level of $50 per barrel. And then in gas it will go Peru, where we have already a very fixed price and a very good price. And Bolivia that we are selling gases at 10% Brent than I think that – believe me, I mean, the increase in production will come – will go to barrels that will bring a lot of – significant margin. Also do not forget about Spain. In Spain we have a very, very, almost 90% margin – almost 90% margin and we will produce 6,000 barrels per day more next year – well, this year than the year before. Therefore, combining all these things you – it’s not difficult to see that the EBITDA will go and will increase in a very significant manner.
Bruno Silva – BPI: Okay.
Antonio Brufau: Okay?
Bruno Silva – BPI: Thank you very much.
Ángel Bautista: Okay. Thanks, Bruno. Now, please Haythem Rashed from Morgan Stanley. Haythem, hello, please go ahead with your question.
Haythem Rashed – Morgan Stanley: Thank you, Ángel. Good afternoon and thanks for the presentation. Three questions, if I may. Firstly, just wanted to ask a little bit about your terms and growth target for this year, if you could just provide a little bit color on how we should think about the deliveries that grow throughout the course of 2013, and actually we expecting a sort of – this is going to become during the first half or more back end loaded with some of the ramp ups you have in, and start ups in the latter half of the year? Second question, I had was just on the refining margin for 4Q, clearly, a very robust number compared to 3Q. I just wondered, if aside from, obviously, uplift from the upgrades, what is driving a sort of fairly robust margin versus the rest of the European market, which saw a sort of sequential full in refining margins? And then my final question, is just around Libya and you mention the under lift in cargos in the fourth quarter, just wondered if there was sort of anything around that in terms of operationally, are things as normal in the country and is there sort of business as usual, and I guess related to that, and the exploration program that you have later this year is that sort of still on track? Thank you.
Antonio Brufau: Well, your first question about growth production, in January we are at the level of 360,000 barrels already. Where the production is going to come, Spain, Russia, Peru with Kinteroni, which will list our very soon, Brazil, the United States, we will produce. We don’t think that we will produce until like 8,000 barrels a day in Mississippi line through all the year on average. In Brazil, on average we don’t think that we will, Sapinhoa will bring something like 5,000 barrels a day of new production net to asset etcetera, etcetera. Therefore today, well today in generally, we were at 360,000 barrels and we looking that we will be there. I mean that we are already and we will. In the case of Libya and nothing happened, I mean that this is a – there is day-to-day business. Last month we have to calculate because this is how we go and how we move. Obviously that cargo will go to January or has gone to January now in terms of selling but nothing – we don’t see any political threat other than just the whole idea in a stability as a whole idea. In Libya that may have to think that we may suffer now, the cargo water, our business decision it went to another operator or to one of our partners and that’s all now. The refining margins, the premium we have in our upgrades in the fourth quarter was $2.45 per barrel now. On average 2012, was $2.10 per barrel now. January this year we have them top of $2 per barrel. And the January was not very good in downstream. We do think that keeping this $2 per barrel, it’s something that we may get or we should get very easily through the year now. We have seen that, January, we are seeing that this month and I don’t see that really to be EBIT problem no, remember that by 2015 in our business plan, in our strategic business plan, for 2013 we had this $2 per barrel, by 2016 we have reach the $3 per barrel. But just moving up, now from $2 today and $3 in 3 years from now, no in 4 years from now. Then we are quite confident that to what – that the basics that we assume at the time that we approve the investment upgrading our units in Cartagena and Bilbao remains there and are very solid. Did I answer it?
Haythem Rashed – Morgan Stanley: Yes. Just one final thing on the margin, just to understand really just between sort of 3Q and 4Q, was this sort of your ability to obviously keep the margins pretty stable, largely as a result of the upgrades, uplift or there sort of other sort of factors that were sort of helping you with Venezuela, just sort of more I was trying to understand?
Antonio Brufau: Well, then telling me high conversion utilization capacity desperate of these gains we’re in etcetera, etcetera. May be if you want to elaborate a little bit more on that please call Henkel or Maria that they will answer very deeply, very, very – in a very good detail.
Haythem Rashed – Morgan Stanley: Okay, great. Thank you.
Antonio Brufau: Thank you Haythem. Now please Marc Kofler from Macquarie. Hello Marc, please go ahead with your questions.
Marc Kofler – Macquarie: Hi. Thanks very much for taking my questions. I just wanted to come back to some of the comments made about the high utilization in the downstream going forward. I was just wondering if you can give some indications in terms of 2013, should we then expect a higher refinery utilization on 2012? Thanks.
Antonio Brufau: Our plan is in 2013 to have a conversion capacity of something like 9 or 10 point than last year. Conversion capacity will go – will work at 96% capacity and the distillation capacity will be around 83%. Then remember that in 2012 during the first semester we opened a Cartagena and Petrom. Obviously when we will ramp up a newly laid out two units like that you have to solve many problems that just appear on the day to day business. Then we have capacity in the distillation or in the conversion units lower than what is regular. On average 2012 conversion capacity was 86%, now we don’t think that’s going to be 96, 10 points more than last year. It’s something different that the reason was that first semester was not very good because of the ramp ups of the units. That I think that 2013 will be, will operate under normal silicon centers which means what we see, distillation 53% capacity conversion, 96%.
Marc Kofler – Macquarie: Sorry, could you just reconfirm on the distillation, you said 93% or 83%.
Antonio Brufau: 83% is topping capacity distillation and conversion unit is where we have the money, 96%.
Marc Kofler – Macquarie: Great. Thanks very much.
Antonio Brufau: Okay. Thank you, Mark.
Ángel Bautista: Okay. Thanks Mark. Now it’s time for Anish Kapadia from TPH. Go ahead please Anish.
Anish Kapadia – TPH: Hi, good afternoon. My first was just on the Mississippi line where we’ve seen well results by some operators coming in below market expectations and you’ve seen some drop-off in activity and also recent devaluations have been relatively low than what we’ve seen in the past. I was just wondering on the back of all that, whether there are any changes in terms of your plan to rig count over the next few years and whether you are looking to bring down your target of 90,000 barrels a day in 2018. My second question is just going back to YPF, you’ve still got number of YPF shares, I’m just wondering if you’ve got any plan to actually sell those shares in the market this year as the YPF share price is bit higher than where it was last year. And then the final thing just – I was wondering if you could give an update on the Sagari well in Peru. Thank you.
Antonio Brufau: Okay. Your first question about the Mississippi Lime, we still think that what we know up to know based on the 200 and more than 200 wells we have done this year, is above our above expectations, above the analysis and the assumptions we used at the time that we joined the company. Then we are – the only thing which is slightly different today is the quantity of gas. We produce more gas than we thought at the beginning. But we produce the same quantity of barrels. Then we produce a slightly more than our assumptions, but that increase in production was basically gas and not oil. For us it’s too soon to take conclusions other than what I am telling you. We do have to reply in our partner. We do rely in partners and this year we will drill something like 700 wells. The CapEx we will employ will be something like $780 million, $790 million. At the moment we will have better knowledge. But today I don’t have any reason to believe that what we thought is not going to be there. Another thing is what the operator said to the market which was not our assumptions. I mean that our assumptions were internal assumptions of Repsol. But we have to think that this business is going to perform and it’s in line with what we though, now as I said before. Do we plan to sell YPF share? No. I mean that, we do believe that the Argentinean government has a launch the cover on the – on YPF at a value of something like US$18 billion. It is bylaw. This is in the bylaws and in every place you have that. Therefore, if we sell now those share, I think that we are going to do a bad business and we have to be very consistent that this is a problem of the money, we have ask for the 51, plus the money we have in shares. And we still think that we have 100% reasons to believe that legally talking they have to launch a big cover, first. Second, if that is not the case, legally talking the Court of Arbitration will give all the right answers to us and not to Argentina. And the last question about Sagari, Sagari is a very good discovery. It will add a lot of gas to Kinteroni. The minister of energy mentioned 2 Tcf of natural gas there. Nothing to say against, but let’s say that (inaudible) may be 2 Tcf we will drill an appraisal well in 2014 and we will take the final investment decision to develop the well and the discovery by 2015. Now we are just as you know working in putting to work Kinteroni in the same block and Sagari will be very good to increase production in Peru which by the way is a very good place to be.
Anish Kapadia – TPH: Thank you. Can I just follow up one general question on the Mississippian Lime, in terms of the wells that you are drilling this year, what’s the split between the extension area and the original area that you are in?
Antonio Brufau: Let me pass the word to word but generally if she is going to be able to answer this question, sorry.
Antonio Brufau: Good morning. You mean the split between extension and original in terms of acreage or in terms of production, in terms of well?
Anish Kapadia – TPH: In terms of wells this year.
Antonio Brufau: In terms of wells this year practically three quarters of the 600 well that we are budgeted will be in the regional area of Mississippian Lime not in the expansion one.
Anish Kapadia – TPH: Okay. Thank you.
Antonio Brufau: Okay. Thanks Anish, now it’s time for Luis de Toledo BBVA. Luis go ahead please.
Anish Kapadia – TPH: Good afternoon thank you for taking my question. And the first one refers to kind of the impairment you will book in 2013 and should we wait until the completion of the deal with Shale to book that impairment or could you advance it? And second question regarding this issue is I mean how you came out with this figure, is it something that, let’s say of the result or the discussions or is it something that you were – you had in mind previously. And the second question refers on accounting issues on the fourth quarter, the non-recurring issues in upstream and downstream has been slightly higher, not very significant, but it’s at this level something that we could expect. Is there other manufacturers affecting this non-recurring issues or are really indentifying its projects? Thanks.
Antonio Brufau: Sorry, Louis could you repeat the last question, you may of the two last questions you made please.
Anish Kapadia – TPH: Okay. The last question was...
Antonio Brufau: The last question, only the last question please.
Anish Kapadia – TPH: Okay. It referred to upstream and downstream and recurrent CCS results and the difference between report CCS results and non-recurring items were slightly higher than previous quarters and then if you could help us with the identifications of the issues picking that figure?
Antonio Brufau: Okay. When are we going Louis, when are we going to look at the increment at the time that the deal is performed and executed we had discussed that with the commission that we will treat that as always we have treat that as single as an unique cash unit and we will book for the provision like for the capital gains at the same moment therefore by then – by the second semester or the beginning of 2014 the accounting treatment we have agreed with all details and with stock exchange authorities. In terms of the difference between recovering and non-recovering CCS basically our – basically other than the stock the inventory effect there’s some improvement in the chemical business remember that I was telling you that we were just trying this strategy in chemicals and that we’ll adjust getting rid of those that who are not efficient. We booked some improvement in the shipper pay in the OCP in the transform company that we have there that we have to compare all the time with the quantity of oil that we’re able to ask another to deliver. And as more other things therefore these are non-recovering items that justify the difference.
Anish Kapadia – TPH: Okay, thank you and congratulations.
Antonio Brufau: Hello. We have the last question of today. Please Fernando Lafuente. Mr. Lafuente please go ahead with your question.
Fernando Lafuente – Nmas 1 Equities: Just wondering if you could give us up to this finish and of the working capital for 2013, some guidance regarding the depth you expect by the end of the year providing that the deal with of the LNG is down by 10? And my second question is follow-up on the question regarding the conversion of the preferred shares, I understood or I don’t know if I’m correct or not that it would be made at the current prices for this, is that correct? Thank you so much.
Antonio Brufau: Let me answer the second question. It will be at market value prices. I mean this shares today and this preferred shares are today being trade with a discount I mean then we’ll have to see which one is the further discount to reconsider in order to issue the asset that we are at – the note or the bond that we are going to issue. Your first question about the working capital I pass the word to Miguel.
Miguel Martínez: I mean this year as mentioned before we obtained our reduction of 750 million which was based 10% in the stock reduction, 5% in the receivable reduction. And we think that for the next year we think that we have gone a little way over the limit so my prior answer was next year probably would be 600 so it would be a minus 150. in relation with the impact of the LNG sale the real impact on our net debt will be €2.2 billion and if the question refers to how the agencies are considering that I can give you that and our assumption on this debt I mean with their calculation as of December 2012 was 13.4 billion and they will reduce it to 8.6 billion. S&P from 13.5 down to 9 billion and Fitch from 12.2 down to 7 billion.
Fernando Lafuente – Nmas 1 Equities: Miguel, I was more referring providing at the capital working capital you say is achieved so what is very more debt level by the end of this year reported level, I mean once made the LNG deal was down €2.2 billion what do you expect by the end of 2013 more or less in comparison to the said €2.2 billion that you showed in the presentation of the LNG.
Antonio Brufau: That is going to – have been much, I don’t know why Fernando, is going to spend much on how we finally act with treasury stock. So we are not providing any hint in relation with our final debt for 2013, sorry about that.
Fernando Lafuente – Nmas 1 Equities: Okay. No problem. Thank you.
Antonio Brufau: Okay. Thanks, that was all for today. Thanks for attending our webcast and our presentation of results. Please do not hesitate to call the IR team if you have further queries or further questions that you need to be clarified. Thanks a lot and see you.